Operator: I'm extremely sorry about that. I'm going to start the script right now. Welcome to The Glimpse Group's Q1 Fiscal Year 2026 Financial Results Webinar. [Operator Instructions]. As a reminder, this conference is being recorded. The earnings release that accompanies this call is available on the Investors section of the company's website at [ https://ir.theglimpsegroup.com/ ]. Before we begin the formal presentation, I'd like to remind everyone that statements made on today's call and webcast, including those regarding future financial results and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's regulatory filings for a list of the associated risks. We would also refer you to the company's website for more supporting industry information. I would now like to hand the call over to Lyron Bentovim, President and CEO of The Glimpse Group. Lyron, the floor is yours.
Lyron Bentovim: Thank you, Jenny, and thank you, everyone, for joining us. I'm pleased to welcome you to The Glimpse Group's Q1 Fiscal Year 2026 Financial Results Investor Call for our quarter ended September 30, 2025. While revenues were down as we guided and expected during the quarter, we made significant strategic progress in advancing the potential IPO spin-off of our subsidiary company, Brightline Interactive, while making substantial deliveries on key contracts and expanding the traction of our AI software product, Foretell AI. Specifically, Brightline made an initial successful delivery on a multimillion-dollar annual spatial core contract with the Department of War entity. Brightline is also in advanced discussions regarding multiple significant DoW opportunities. While these discussions have been impacted by the government shutdown and continuing resolution, we still expect these to materialize into contracts during calendar year 2026. Our AI software license product, Foretell AI, our AI roleplay simulation, providing intelligent conversational simulations in immersive environments has been gaining traction in both the education and health care segment. While early in its commercialization, the level of enterprise interest in Foretell AI and the accelerating pace of new licenses and annual license renewal is encouraging. Our goal is for Foretell AI to eventually become a fundamental base for Glimpse's revenues. Our other businesses continue to perform well. For example, we recently signed several contracts with one of the world's largest oil service companies, aggregate contract value in the mid-6 figures for the development of 3D brand environments and animation and corporate presentations. Regarding the Brightline IPO spin-off, our immediate strategic focus is driving a potential IPO and spin-off of Brightline as its own independent publicly traded company, a pure-play stand-alone, well-capitalized providers of AI-driven spatial computing, cloud-based operational simulation middleware to the DoW and large enterprises, enabling real-time data orchestration and training of digital twins, robotics, drones and autonomous systems. In October 2025, we initiated the IPO spinout process, engaged Lucid Capital Markets, LLC as our investment banking partner and an experienced securities counsel. While there is no guarantee of success, we expect the process to play out over the coming months with a potential Brightline IPO in the first half of calendar year 2026. Current Glimpse shareholders in parallel to their new holding in a spun-out Brightline will also maintain their holdings in Glimpse. In addition to our core immersive businesses, which are increasingly driven by traction in our Foretell AI software product, we believe that there are considerable value creation alternatives for Glimpse to pursue as a clean, healthy NASDAQ-listed technology company. We are in the initial stages of reviewing such potential alternatives. With that, I will turn it over to Maydan Rothblum, Glimpse's CFO and COO, to review the financial results. Mean?
Maydan Rothblum: Thanks, Lyron. I will limit my portion to a summary review of our financial results. A full breakdown is available in our 10-Q and press release that were filed before market -- after -- sorry, market close today. Please note that I may refer to non-GAAP measures. For the calculation of non-GAAP measures, please refer to the MD&A section of our 10-Q filing. As discussed previously, we expected fiscal year '26 revenues to be choppy by quarter as demonstrated by our results in this quarter. Q1 fiscal year '26 revenue of approximately $1.4 million, reflecting a 43% decrease compared to Q1 fiscal year '25. That's for the period ending September 30, 2024, revenue of approximately $2.4 million. The decrease reflects timing of Department of War contracts and the U.S. government budgetary delays and our divestiture of noncore entities. Gross margin for Q1 fiscal year '26 was approximately 72% compared to approximately 68% for fiscal year '25. We expect our gross margins to remain in the 65% to 75% range. Adjusted EBITDA loss for Q1 fiscal year '26 was $0.92 million compared to $0.46 million loss for Q1 fiscal year '25, reflecting the lower revenues in this quarter. The company is currently operating at an adjusted EBITDA breakeven level at approximately $10 million of annual revenue, which is equivalent to our fiscal year '25 revenue. The company's cash and equivalent position as of September 30, 2025, was approximately $5.56 million with an additional $0.66 million in accounts receivable. We continue to maintain a clean capital structure with no debt, no convertible debt, no preferred equity. And as of October 2025, no contingent liabilities after making the final performance payments relating to Brightline's acquisition in 2022. Since there are many moving parts currently in play, we will not be providing revenue guidance for the remaining of our fiscal year ending in June 30, 2026. I'd now like to pass it back to Lyron for some closing remarks, after which we will begin our Q&A session. Lyron?
Lyron Bentovim: Thank you, Maydan. This quarter was marked by the formal initiation of the value creation initiatives we previously discussed, initially led by the potential IPO spin-off of Brightline and then to likely be followed by other initiatives. This process will play out during our fiscal year 2026, and we will keep you updated to the degree possible as we progress. In parallel, we expect our business to continue to grow with a focus on Foretell AI software licenses. Thank you all of you for your interest and support of The Glimpse Group. And now I'll turn it over to Jenny for some questions.
Operator: [Operator Instructions]. Okay. We don't appear to have any questions on the phone lines. I'll then hand over to Lyron to see if there have any questions submitted via the webcast.
Lyron Bentovim: No, there is no questions on the webcast. So I would take this opportunity to thank each and every one of you for joining our earnings conference call. We look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please reach out to us directly. Thank you, and have a great day.
Operator: Thank you very much. This does conclude today's webinar. Thank you for your participation, and have a wonderful day.